Operator: Good morning, ladies and gentlemen and welcome to Enerflex Second Quarter 2022 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to your host, Stefan Ali, Vice President, Strategy and Investor Relations. Please go ahead.
Stefan Ali: Thanks, operator. Good morning, everyone and thank you for joining us on our second quarter 2022 earnings conference call. With me on the call today are Marc Rossiter, President and Chief Executive Officer; Sanjay Bishnoi, Senior Vice President and Chief Financial Officer; and Ben Park, Vice President, Corporate Controller. During this call, we will touch on highlights from our second quarter 2022 results, comment briefly on the performance of our three business segments, and then provide an update on the proposed acquisition of Exterran. Before I turn it over to Marc, I will remind everyone that today’s discussion will include non-IFRS and other financial measures as well as forward-looking statements regarding Enerflex’s expectations for future performance and business prospects. Forward-looking information involves risks and uncertainties, and the stated expectations could differ materially from actual results or performance. For more information, please refer to the advisory comments within our news release, MD&A and other regulatory filings, which are available on our website and under our SEDAR profile. All dollar amounts discussed today are in Canadian dollars unless otherwise stated. With that, I’ll turn it over to our President and CEO, Marc Rossiter.
Marc Rossiter: Thanks Stefan and good morning everyone. Enerflex posted another strong quarter, building on the momentum we established in the first quarter as we continue to recover from the lows of the pandemic. Reflecting the underlying strength of our base business and our ability to capitalize on improving market fundamentals, we increased our revenues, grew our margins and reduced our net debt balance. Driven by North American activity, our Engineered Systems business continued its recovery. Quarterly bookings of $313 million doubled from the second quarter of 2021 and increased by 32% from the first quarter of 2022. Continued bookings momentum generated an Engineered Systems backlog of $737 million at June 30. This is our largest backlog in 3 years, providing Enerflex with a clear line of sight to value creation over the coming quarters. Our teams have been working hard to capture expanded margins on these new bookings compared to the lower margin work we secured during pandemic. Though producers across North America continue to demonstrate capital discipline, rig counts and natural gas production are rising, which we view as a leading indicator for future bookings and backlog. Our energy infrastructure business continues to perform as expected. Within the U.S., solid market fundamentals and the growing demand for LNG exports drove our contract compression fleet to an average utilization rate of 94% during the quarter, our highest on record and a clear indicator that there is demand for our products and services. In our Rest of World segment, we continue to progress the construction of a natural gas infrastructure asset that was awarded in the fourth quarter of 2021. Excellent project execution will see this asset come online later this year, which is ahead of schedule and significantly under budget. Lastly, despite broad-based OEM supply chain challenges on the timely delivery of parts, along with inflationary operating expense pressures our service business saw a considerable increase in activity from a combination of improved part sales and general demand for maintenance solutions across all regions. Barring a significant change in macro fundamentals across the energy sector, we expect demand for our aftermarket services business to remain robust. With respect to inflation, we are diligently working to protect our margins and are actively managing supply chain and inflationary pressures across all regions. Most of the inflationary pressures we are observing relate to the availability of materials and escalating operating expenses. To mitigate this, we are being strategic in our inventory planning based on the bid pipeline and working closely with our customers to reduce any significant cost exposures and delivery delays. Finally, I will touch on our energy transition business, where we are progressing several opportunities across the carbon capture, renewable natural gas and hydrogen spaces. In addition to helping our customers eliminate Scope 1 GHG emissions through our electrified offerings, we are also meaningfully progressing discussions for larger-scale infrastructure that will facilitate global decarbonization efforts. Constructive public policy will assist in promoting investment in this emerging market and could begin to benefit Enerflex as early as this year. I will now turn it over to our CFO, Sanjay Bishnoi, to touch on the financial highlights from the quarter.
Sanjay Bishnoi: Thanks, Marc. The increase in activity levels we experienced during the second quarter drove higher revenue and gross margin across all product lines. Top line revenue of $372 million was 15% higher sequentially and 82% higher than second quarter of 2021 and resulted from a larger opening backlog, higher rental utilization and a higher volume of work. Enerflex recorded a gross margin of $64 million or 17.1% as a percentage of revenue, and our margins continue to trend positively towards pre-pandemic levels. Margins associated with our Energy Infrastructure and Engineered Systems product lines were stable, while our Services gross margins improved quarter-over-quarter. It’s important to note that the Engineered Systems’ gross margins we reported in our second quarter results relate primarily to the conversion of lower margin bookings from 2021. The more robust margins that we are capturing on today’s bookings are expected to be converted and reflected in our financial results later this year and into 2023. Next, a higher-than-expected adjusted EBITDA of $45 million was driven by our expanding gross margins and increased AMS activity compared to the first quarter of 2022. As a result, our adjusted EBITDA increased by 16% from the first quarter of 2022 and 24% year-over-year. Regarding capital allocation during the quarter, we invested $24 million in Energy Infrastructure capital expenditures and work in progress related to finance leases. The $24 million was evenly split between our contract compression assets and the large natural gas infrastructure project underway in the Middle East. We are currently forecasting this project to come in under budget and be completed by the end of the year, at which point our recurring revenue and free cash flow profile will improve. Enerflex will continue to exercise discipline in our capital investments and discretionary spending to strengthen our financial position and derisk our delevering strategy following the close of the proposed Exterran acquisition. At June 30, our net debt balance was $200 million for a conservative bank-adjusted net debt-to-EBITDA ratio of 1.36x. Lastly, Enerflex’s Board of Directors will continue to evaluate dividend payments on a quarterly basis based on the availability of cash flow and anticipated market conditions, yesterday declaring a dividend of $0.025 per share to be paid on October 6, 2022. With that, I will hand it back to Marc to give an update on the proposed acquisition of Exterran.
Marc Rossiter: Enerflex continues to progress all matters that need to be addressed to close the proposed acquisition of Exterran. To-date, we have obtained a number of the required regulatory approvals, and we continue to pursue the SEC approval required in connection with the registration of our common shares in the United States. Subject to receipt of all regulatory approvals, we expect to issue the information circular in the coming weeks for the special meeting of Enerflex shareholders that will consider the transaction. Since we announced the acquisition back in January, both Enerflex and Exterran have reported better-than-expected financial results driven by the strength in bookings and macroeconomic conditions. Interest rates have also risen. The timing of expenditures has been delayed with some expenditures slipping from 2022 into 2023 and the timing of associated tax payments has been revised. As a result, we have updated our expectations for the pro forma entity, which include: through strong cash flow generation and higher anticipated synergies, we expect to deleverage more quickly than initially forecast and anticipate bringing our bank-adjusted net debt-to-EBITDA to below 2.5x within 12 to 18 months of closing; and through our integration planning efforts, we now expect to capture $60 million in synergies compared to the $40 million of synergies disclosed initially, primarily captured through overhead savings and operating efficiencies. Additionally, we expect to grow our recurring revenues to over 70% of the combined entity’s gross margin profile, which will stabilize the underlying business and make Enerflex more resilient against future market volatility. Exterran also continues to progress a dispute with a former employee and has disclosed that although it may incur some loss with respect to the matter, the ultimate resolution will not be material to Exterran. Enerflex has been regularly communicating with Exterran regarding the dispute and has engaged outside legal counsel to assist in evaluating the dispute and the impact to Exterran, Enerflex and the potentially combined entity. In closing, energy security has become more important than ever. The demand for low-emission natural gas is growing, and we believe that Enerflex is strategically positioned to contribute our expertise to projects that will deliver safe and reliable energy solutions for years to come. Today, our base business is delivering solid results across all regions and product lines and we are on the precipice of completing a transformational acquisition that will grow our free cash flow and will provide us with increased optionality over the long-term. We will now be happy to take questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Tim Monachello with ATB Capital Markets. Your line is open.
Tim Monachello: Hey, good morning everyone.
Marc Rossiter: Good morning.
Tim Monachello: Happy to see the update on the merger. I was just curious if you could give a little bit more detail around the changes to the EPS and cash flow per share accretion assumptions. Specifically like, I guess, what timeline is that over? And are you able to like – to give what EPS and cash flow per share assumptions are underlying those, those accretion numbers?
Sanjay Bishnoi: Yes, sure. Tim, this is Sanjay. I’ll take that one. So there is a few questions in there. I guess from a timeline perspective, the accretion that we’re giving is for 2023. And I think the important thing, the big mover from the previous guidance that we had given when we announced the transaction is really related to interest costs as the market’s gone up in terms of interest rates. We’ve gotten a little bit smarter on some other things like taxes and depreciation and so – and the purchase price allocation. And so it’s really those things that have moved the dial there, the big one being the interest rates. And I think important to point out that we do have some protections on the maximum interest rate that we can observe on the financing and we have moved to the most conservative position when we’re modeling that now. So we have kind of moved that to the cap, if you will and that’s what’s reflected in the numbers that we put forward last night.
Tim Monachello: Okay, got it. So I guess pairing that against the, I guess more aggressive deleveraging targets that you set. Is it fair to say that, that is more a function of increasing EBITDA that’s been decreasing leverage over the next 12 to 18 months?
Sanjay Bishnoi: No, we are – we actually – I think one thing sort of leads to the other. And we took a really hard look at how we want to run the business, especially if we have got a little bit higher cost on the financing. And so there is just a greater emphasis on delevering the balance sheet at this point. That’s really been the bigger driver to point towards the lower end of the range. Previously, we were – we had given a 2.5 to 3 range, and we just think it’s prudent in the higher cost environment to get it down to 2.5.
Tim Monachello: Okay. Can you provide a little bit more detail on just your timing expectations and the next steps to close the transaction? And so you talked about the circular being released over the next few weeks, when do you think you’ll tap the high-yield market?
Sanjay Bishnoi: Yes. So just stepping through the steps here, we first need to get final approval from the SEC. We expect that within the next couple of weeks. That will then kick off issuing the circular. Let’s call that sort of within the next several weeks that we think we can get to that point, and then we do have an obligation to give shareholders a certain amount of time. I think it’s 30 days to read the circular before the vote, and then we would proceed to close the transaction after the vote. So that’s kind of the timeline. In terms of accessing the high-yield markets, those of you that follow the high-yield markets know that a lot of the investors – the market is fairly quiet for the second half of August. And so I don’t anticipate that we will be approaching the market in the next, call it, several weeks here. I do think that we are going to wait until we’ve got a little bit more clarity on the exact timeline of the transaction. And we’re post Labor Day and then we are in a more constructive period of the market historically, and my guess is that’s when we’ll be thinking about hitting the markets.
Tim Monachello: How does the ongoing dispute with the Mexican Labor Board for Exterran impact the timing of any of these items?
Marc Rossiter: It doesn’t.
Tim Monachello: Okay. And then just shifting gears here on bookings and margins, maybe you can just clarify. It sounds like margins are improving on new bookings, but maybe more pressured than they were historically. What are your expectations for margins, I guess, within the Engineered Systems business in North America specifically over the next 12 months?
Marc Rossiter: We expect it to grow, and we said that in the prepared comments. We will stop short of giving an exact number, but the margin in the bookings received in Q2 is definitely higher than the gross margin reported in the segment in Q1. So, we sort of know what we have in our back pocket in the bookings. We know what we delivered in Q1. And we know that there is – we expect an increase over time when we deliver those. Going from the bookings margin to delivery, it’s all about costs. And right now, we feel like we have got a reasonable hand on the cost to execute on that backlog. And we are quite comfortable in our ability to control those costs, and that’s why we don’t mind saying we expect Engineered Systems gross margin to increase. I don’t think that it’s that much different. Now that we are through the really stressful supply chain challenges that existed in Q4 and Q1, I think that this recovery in Engineered Systems feels very similar to recoveries in past cycles. So, it’s not really that much more or less competitive in the market now than maybe what we were feeling six months ago.
Tim Monachello: Okay. In terms of lead times for inputs, can you talk a little bit about that, I guess specifically compressors and engines?
Marc Rossiter: Sure. I think we would normally say that our backlog converts to revenue in the 6-month to 9-month to 12-month timeframe. And probably a year ago, that was more like six months to nine months. I would say now we will be converting backlog in the 9 months to 12 months timeframe. I don’t want to give you specific deliveries on engines and compressors, but if we get an order for a package, you will start seeing significant revenue recognition 9 months to 12 months out.
Tim Monachello: Okay. Got it. I appreciate all the details, guys. I will turn it back.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Aaron MacNeil with TD Securities. Your line is open.
Aaron MacNeil: Hi, good morning, all. Thanks for taking my questions. Nice to see the guidance bump. As it relates to the synergies target, I guess what sort of early integration work have you done to get more comfort on that figure?
Marc Rossiter: We have done a ton of pre-integration work. And I should correct myself, the $40 million to $60 million is U.S. dollars, whereas at the beginning of the presentation, Stefan said it’s all Canadian. Those are the only numbers that I would say are in U.S. dollars. It’s been six months, Aaron, since we announced this transaction, and you can imagine we were working on it for months and months prior to that. So, since we announced the transaction, we have been able to get Enerflex people and Exterran people within the bounds of all the antitrust regulations, working together to think about what the pro forma entity looks like and how we can deliver upon the synergies that we need to – in the consolidation play to make the deal appropriate, but also thinking about the future of natural gas infrastructure, which we think has got really strong tailwinds. So, we put – I guess I can say we put a lot of time into it. I believe very strongly in the $60 million number, and I believe it’s achievable.
Aaron MacNeil: Great. Sticking with Exterran and the legal dispute, I think Exterran did a pretty good job in the 10-Q to highlight the absurdity of the issue. And I know you are not going to want to indirectly give a legal opinion, so let me maybe be the one to say that in a scenario where this lawsuit appears to be frivolous, based on your conversations with investors, do you think that this issue will negatively impact Enerflex’s shareholder support for the transaction?
Marc Rossiter: It won’t positively impact it. That’s for sure. I think it’s one of many issues that our shareholders will have to consider when they consider the overall benefits to them of doing this deal. Enerflex management and the Board still believe very strongly in the overall benefits of this deal to Enerflex shareholders. The strategic rationale of getting 70% of our gross margin from recurring revenues, from really being a global natural gas player, which in pretty much the hottest commodity in the world today and what we think will be a very strong macroeconomic backdrop for natural gas for decades to come, those are the two main things that really make this acquisition make a ton of sense. And the Mexico situation is something that really sticks out there. But upon careful consideration and everything that we know and based on seeking legal advice, like we said in the press release for two separate counsel, we still believe very strongly in the overall benefits of this acquisition to Enerflex shareholders over the long-term.
Aaron MacNeil: Okay. Maybe I will sneak one more question in. As it relates to the Rest of World segment margins, I guess I just would have expected margins to be a bit higher given the infrastructure weighting in the revenue profile. And is there anything non-recurring or maybe something that is recurring that’s causing a drag on the margins over the past couple of quarters?
Sanjay Bishnoi: Yes. We had a couple of things, Aaron, this is Sanjay, that impacted those margins. I don’t think it’s indicative of what we expect in the long run of the business. The first was actually a project that we actually sold it in Rest of World, but a lot of the margins were actually recognized in the U.S. business just because it was a manufacturing job. So, the revenue went Rest of World, but a lot of the margin was captured in the U.S. The other one, the other driver is we did have a project that had some supply chain and inflationary issues and did drive down margins, and that’s very much an isolated incident there. So, I think those two factors are what’s showing up in the numbers, and we don’t expect that that’s going to be a continuing issue.
Aaron MacNeil: Okay. Thanks all. I will turn it back.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Andrew Bradford with Raymond James. Your line is open.
Andrew Bradford: Good morning, guys.
Marc Rossiter: Hi Andrew.
Andrew Bradford: Hi. Could we maybe just start with Exterran quickly here? Can you add any color on why the SEC approvals are taking longer than you might have initially anticipated?
Sanjay Bishnoi: Yes. It’s really – as a first-time issuer, when the deal closes, as a first-time issuer, the SEC, not atypical for them to just take a little bit more time in getting to know Enerflex as a company, and a lot of it has just been Q&A back and forth with understanding our company a little bit better. So, I would say that’s been the primary factor.
Andrew Bradford: There has been no one issue that they have been more or less hung up on or no one area of operations they have been more hung up on than others?
Sanjay Bishnoi: Not really. I mean they did take some time to digest IFRS 16 and treatment of finance leases, so that back and forth and how we were thinking about that has represented a little bit of the Q&A both. But outside of that, I would say it’s been across the board, no real specific issue.
Andrew Bradford: Okay. Thanks for that. And I will get this one out of the way, too. So, I am sure your counsel in Mexico provided you with considerable comfort regarding the ultimate cost of this action. But it doesn’t sound like they gave you guidance that the timing of the resolution will be particularly convenient for you in respect of the mailing of the vote, is – have I got that right?
Marc Rossiter: Yes. Andrew, I don’t think that there will be a legal, let’s call it, solution to this situation before we want to close the deal and before we have to close the deal.
Andrew Bradford: Okay. That said, for what is worth, I was happy for it to be there, and that was pretty good disclosure by Exterran and shine a bright light on some of the absurdities of what’s going on down there. So, hopefully, that provides some comfort. Let’s switch back over here to the bookings and backlog. The lead times embedded in these orders, it looks like backlog conversion is running a bit longer than usual. I expect that maybe because your customers are trying to anticipate supply chain difficulties, is that right?
Marc Rossiter: We definitely have some customers, especially operators in the Permian Basin, that have a very positive outlook for their business, and they are placing orders for equipment that they want to receive over the 9-month to almost 18-month timeframe. And they are sort of planning ahead based on the rig count and their relationships with their producers, what they expect to come throughout 2023. So, let’s call those almost fleet orders from different midstream players in the Permian Basin, and they don’t necessarily need every single one of those units as soon as we could deliver them. They have a certain delivery schedule. They want to react to increases in gas production from their customers. So, that’s one of the driving factors. And the bookings in Q2, big in the United States, also pretty big in Canada, and it’s midstream operators reacting to higher rig counts in the major basins in the United States. And that’s where it’s all coming from.
Andrew Bradford: Okay. So, where we might have seen conversion of the backlog sort of in the 30%-plus range, we could probably expect that to – on a quarterly basis, pardon me, but we can probably expect that to drop a bit or stay lower here for the next – well, it sounds like the next several quarters.
Marc Rossiter: That’s reasonable.
Andrew Bradford: Okay. And just out of curiosity, you mentioned electric drive a fair bit in the press release. In rough terms, what is the – as a percent of total compression packages that are sitting on the book now?
Marc Rossiter: So, what percentage of our compression orders in the backlog are electric?
Andrew Bradford: Yes.
Marc Rossiter: I don’t have a number for you. It’s significant. When I walk around the facilities in Houston and Calgary, I see a lot of electric motors. And I just would hate to give you a number on that, but it’s significant. When a producer puts a package in the field of electric motor instead of a gas engine, if indeed the grid they are pulling from has a high percentage of renewable energy, hydroelectric, wind, solar, whatever, then their overall Scope 1 for that particular package is significantly reduced. So, they like that. They like the lower cost of an electric motor, at least from the package point of view. They have to balance that against the time and cost of bringing in high-voltage power to the facility. So, we are seeing a lot of our electric motor drive packages are associated with pretty significant natural gas infrastructure. Think of deep cut plant or cryo plant, where they are bringing in high line power anyhow. For field gas gathering units, it’s less likely to be electric because the cost of bringing in the power starts to erode some of the benefits of the lower cost package and need to reduce Scope 1. So, there is a lot. They tend to be higher horsepower units. Think 5,000 horsepower and up, which we are particularly good at. We package more 8,000 horsepowered higher units compressor packages than anybody in the world. So, that’s a segment that we really like, and that’s the way a lot of producers are going for the residue compression associated with cryo plants and deep-cut plants.
Andrew Bradford: Do you care like in terms of – so it sounds like it’s lower cost for the producers. But what does it do to your margin? I guess the margin on these units roughly the same, or...?
Marc Rossiter: It’s roughly the same. We like both, and we are really good at both, and we have got a long track record of doing well at both. There is definitely more service associated with gas engines. So, from that point of view, when a gas engine goes out in the field, we have got a service opportunity in that over the course of the next 20 years to capture that business. An electric motor itself doesn’t require as much service as an engine. You still need to service the compressor and everything else, but it does – the motor has less service opportunities long-term than the engine does.
Andrew Bradford: Is it fair to say that electric drive in the field, or in the field and in the plants is still might be a high percentage of your backlog, but won’t be a high percentage of the total deployed fleet, any comments?
Marc Rossiter: I guess so. You can model it the way you see fit. It’s tough for me to give you an exact number of where we are in engine versus electric.
Andrew Bradford: I will leave it there. Thanks a lot, guys.
Marc Rossiter: Okay. Thanks Andrew.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Michael Robertson with National Bank Financial. Your line is open.
Michael Robertson: Hey. Thank you. Good morning, all. Congrats on a solid quarter, and I appreciate you taking my question here. I was just wondering, I believe you guys noted a record level utilization for the rental fleet in the quarter and was just wondering what your sort of high-level thoughts were in terms of your available capacity. I would imagine you want to always have some flexibility to be able to rapidly respond to a situation with deployment if need be. Just any of your sort of high-level thoughts in terms of the positioning of the fleet today and based on inbounds that you are seeing from clients at the moment, how you see that sort of moving forward and the impact that, that tightness might have on pricing at the leading edge.
Marc Rossiter: Michael, thank you. We are – for starters, I would like to express my gratitude to our contract compression team in the United States for achieving that 94% utilization. They reactivated a lot of equipment and got it out in the field for the benefit of our customers, and it’s been a lot of hard work in the first half of the year to get to that 94%. Let’s say over the past 20 years of contract compression, once you get over 90%, people start spending to build new units to give them that increased flexibility to respond to customer demand. We haven’t done that. We definitely have demand from our customers, and we are doing our best to serve our best customers with our equipment. But we are also being very cautious with capital just in general, but also knowing that the number one priority for the Exterran acquisition is for us to deleverage the balance sheet to 2.5x within 12 months to 18 months. So, 94% utilization would tell you that there is demand. You should be able to increase prices. You should be building more units. We are going to be cautious on that front, and we are going to thank our teams for delivering that equipment at 94% and the best possible margins. We are getting price increases on that equipment when the contracts roll over, and so I would expect to see potentially increased margins in that business in the coming quarters. But the costs are increasing a little bit, too, from lube oil and people and diesel for the trucks, etcetera. So, it’s a great business. We like being in it. We are definitely not deploying a lot of growth CapEx to it even though that utilization number is high. We are going to stand by right now and…
Michael Robertson: Got it. That’s an interesting dynamic and I appreciate the color. With 94%, I would imagine it’s tight across the board. But are there any like horsepower ranges that you are effectively sold out of at this point?
Marc Rossiter: I mean 94%, we are effectively sold out of a lot of it from that point of view. And we are a little bit different than some of the other public fleets and that we have a broad spectrum of equipment sizes from large to small, from electric to gas engine, from wellhead gas lift to midstream gas gathering. So, we are pretty much sold out of most of it right now. And we are actively – the CapEx we are putting into the fleet is retrofitting old engine drive units, especially small ones to electric because there has been quite a big demand for electric wellhead units. And as we complete those and get them out into the field, they will be increasing revenue. But it is the modest spend. Like when you retrofit a unit, the CapEx is way less than building a new one. We think – and you get a very good return on that investment when you do it.
Michael Robertson: Maybe just one sort of follow-up to that, and I will turn it back. But did you have like a decent amount of sort of idle equipment that you are able to do that too?
Marc Rossiter: Yes. It’s getting less and less every day, which is a blessing as you can imagine. We did have a lot of idle – a strategic priority for us was to look at our global fleet idle equipment. And if we had idle equipment in Mexico, for instance, that we could retrofit and put to work in the Permian Basin, we wanted to place a priority on that, and we have done that a lot. But globally, the equipment that is – you could put back into service with a reasonable amount of CapEx is getting smaller every day. Again, that’s a good news story, and we don’t have plans right now on changing our allocation of capital to increase it into the rental fleet. We do expect over the course of the next 12 months to 18 months to keep – to be quite conservative on any growth CapEx in ECC.
Michael Robertson: Got it. Thanks Marc. Appreciate the color, I will turn it back.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of John Gibson with BMO Nesbitt Burns. Your line is open.
John Gibson: Good morning guys. First one just comes from a comment you made from one of Tim’s questions. What is the maximum rate on the high-yield financing you have assumed just based on your guidance, or maybe, put differently, could you put some goal posts around total interest charges in 2023?
Sanjay Bishnoi: Yes, John. This is Sanjay. The way that we have dealt with this situation is we are silent on the structure of that loan until we go to the high-yield markets, and the intention there is that we just don’t want to influence the market in terms of what’s kind of been priced into our models and priced into our minds. We just – we think we are putting the company – we are exposing the company if we do that. So, we have been silent on the cap. What I would suggest, because I understand you guys need to think about models, etcetera, is I would just look at the ratings that we have published or that S&P and Fitch have allowed us to publish. Those are BB negative ratings for the issuer. You can look at the high-yield market and where a BB energy services credit trades, and I think that’s a really good proxy for where we are right now.
John Gibson: Okay. Fair enough. And then just last one, can you maybe talk about some of the energy transition projects you are working on? I know you have discussed this in the past. But just wondering if you expect some sort of contribution in 2022 or 2023, or are they still more in the bidding or inquiry phase?
Marc Rossiter: We expect bookings in 2022. We expect revenue in 2023. We are working on electrification and compression, which is an ongoing every day, every month kind of thing. Carbon capture, utilization and storage, especially in light of the Manchin-Schumer deal that was announced a couple of weeks ago and it’s passing in the Senate, is definitely a very positive macroeconomic signal for carbon capture projects in the United States. We are working quite hard on pre-combustion and post-combustion carbon capture in Canada and the United States. We are even doing engineering studies in our Rest of World segment. Canada and the United States, I would expect orders this year and, again, revenue in 2023. It’s something we are very excited about. We have always felt that Enerflex’s core capabilities sit right on top of the needs of the carbon capture business, especially the capture plants. Think fertilizer plants, ethanol plants, even post combustion on the back end of engines and gas turbines, etcetera. So, it’s a sector we are really happy about. Renewable natural gas, it’s a business in the United States primarily, where we sell equipment to RNG developers. Renewable natural gas, once it actually comes out of the bio feedstock, requires a fair amount of processing to purify it to put it into the grid. And this is stuff that Enerflex has been doing for 30 years, 40 years. So, the technology isn’t new. The way you put it together and the sizes and some of the impurities in the gas is different for every project. But we have got some great customers in the United States that look to us to help them with those packaged solutions. And so RNG, even though it was an overall kind of segment, people have different opinions about the profitability and the long-term benefit of RNG from landfills, from dairy, from other animal waste facilities. There are a lot of projects going on in Canada and the United States, and we are supplying equipment to those folks. Finally, on hydrogen, our involvement in hydrogen is more upstream. We have been packaging hydrogen compression for upwards of 20 years. The reciprocating compressors that we package, the reciprocating compressors that we package have been used in blue hydrogen plants since hydrogen plants were necessary for hydro desulfurization of diesel 20-plus years ago. It’s those same skill sets that we are looking at for green hydrogen applications. But the numbers, they are just not as big for us today as carbon capture and RNG would be.
John Gibson: Great, appreciate the color. I will turn it back. Thanks.
Operator: Thank you. At this time, I would like to turn the call back over to Marc Rossiter for closing remarks.
Marc Rossiter: With no further questions, I would like to thank everyone once again for joining us today. We look forward to connecting with you in November to discuss our third quarter results.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.